Operator: Greetings and welcome to the Lightbridge 2018 First Quarter Earnings and Business Update Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host Mr. David Waldman, Investor Relations. Thank you. You may begin.
David Waldman: Thank you Michelle. Good morning, and welcome to Lightbridge's first quarter 2018 business update conference call. The company's press release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. If anyone has questions after the call, you may contact Crescendo Communications, Investor Relations firm for the company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today's call. In addition the following executives are available to answer your questions; Linda Zwobota, Chief Financial Officer; Jim Malone, Chief Nuclear Fuel Development Officer; Andrey Mushakov, Executive Vice President for International Nuclear Operations; and Jonathan Baggett, Vice President for Program Management. Seth and I are participating on this call from Fox Studios in New York where he will be a guest on Varney & Co on Fox Business at 11:50 a.m. Eastern Time, so we apologize that he will drop off this call about 40 minutes from now. Today's presentation includes forward-looking statements about the company's competitive position in product and service offerings. During the course of today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectations and involves certain risks and uncertainties that may cause the actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. You can participate in today's call in two ways. First, you may submit questions for management in writing to ir@ltbridge.com. If you have already submitted a question, we thank you. You can submit them at any time during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be open for live questions. Now here is Lightbridge CEO, Seth Grae. Please go ahead.
Seth Grae: Thank you David, and good morning everybody. Thank you for joining the call. In the first quarter of 2018, Lightbridge reached the major goal of launching Enfission, our 50-50 joint venture with Framatome to complete the development, regulatory licensing, manufacturing and selling of nuclear fuel assemblies based on Lightbridge-designed metallic fuel technology and other advanced nuclear fuel intellectual property. As those of you who've been following our progress now, Framatome is the ideal partner as the global leader in the nuclear power industry, designing, servicing, fueling and advancing the global fleet of power reactors. Framatome brings large-scale manufacturing capabilities in the United States, an impeccable reputation as a nuclear fuel supplier and a large global footprint. Framatome is majority-owned by EDF, the largest nuclear reactor operator in the world. I'd like to take a moment to walk through key milestones we've accomplished in the short period since the launch of Enfission on January 25th and the timeline of key events going forward. First, we established a corporate governance and project management structure to ensure effective project control and oversight. Yesterday we announced the directors and officers of Enfission. Second, in terms of manufacturing, we completed and issued preliminary specifications and requests for quotation, RFQs, for scope on several fabrication-related tasks. We also completed a technical and commercial assessment for two suppliers and identified options to be evaluated for commercial-scale fabrication process optimization. Third, in terms of fuel design, we launched a critical heat flux test program. We also completed procedures for the first test rig qualification and interim inspection of equipment for irradiation testing. And fourth, in terms of regulatory licensing, we initiated preparation of our NRC regulatory licensing plan and identified identification of criteria for the standard review plan. As far as upcoming milestones, we have laid out a series of key milestones and a timeline of events we are working towards. First, we will begin by having semi-scale metallic fuel samples fabricated in 2019 to 2020 for irradiation testing under prototypic commercial reactor conditions. Again a benefit of the JV is that Framatome has extensive manufacturing capabilities and expertise that will enable Enfission to design the entire system to the exact specifications required. Second, upon completion of the fabrication and manufacturing, we plan to begin in-reactor and out-of-reactor experiments in 2020 to 2021. This will be another major milestone for the JV and we believe will drive massive value for shareholders, similar to a biotech completing its Phase III trials. Third, we plan to establish a pilot-scale fuel fabrication facility and demonstrate full-length fabrication of our metallic fuel rods, again as early as 2020. And fourth, we plan to begin lead test assembly operation in a full-size commercial light water reactor, which involves testing a limited number of full-scale fuel samplings in the core of a commercial nuclear power plant over three 18-month cycles as early as 2023 to 2024. At this point, our fuel will be on full display to the world and the nuclear power industry will be abundantly aware of the tremendous economic upside of our fuel as well as the safety and other benefits. In a few moments I'll also discuss new plans to start demonstration of our fuel in a commercial reactor in the United States in 2021. Earlier this month, an independent scientific paper was published in Nuclear Engineering and Design, a technical journal affiliated with the European Nuclear Society. This peer-reviewed paper reports the results of a study that shows that Lightbridge's spent fuel could not be used by would be proliferators to make nuclear bombs. The abstract states that the plutonium from Lightbridge's spent fuel would have the tremendous benefit of being useless for a nuclear explosive device. The paper in a leading nuclear energy journal is helping to drive further awareness and support of our fuel within both governmental and non-governmental organizations. I suspect this paper is a reason we're here at Fox today with issues around the Iran deal and issues relating to nuclear non-proliferation and about 40 minutes from now we'll see what they ask us on the air. The White House has also placed nuclear energy at the forefront of its energy agenda, including new programs to boost nuclear power research and development. We're seeing tremendous support from the administration. Along these lines I'd like to point out that for the first time in 23 years, the U.S. Department of Energy has resumed operations at the transient reactor test facility, also known as TREAT. This reactor is a crucial part of the nation's nuclear R&D infrastructure and provides the capability to test nuclear reactor fuels and materials under extreme conditions, accident conditions. Such testing can help to improve safety and performance of the current and future nuclear reactor fleet. We believe this is a major development and hold enormous promise for Lightbridge. I'll touch on the importance of this reactor further in a moment. We've been planning to be in irradiation of metallic fuel samples in the Halden research reactor in Norway in the 2020 to 2021 timeframe. The Halden reactor is operated by the Institute for Energy Technology, known as IFE from its Norwegian acronym. The current operating license of the Halden research reactor is valid through the end of 2020. On June 27th IFE's board of directors will decide whether to seek renewal of the Halden reactor operating license beyond 2020. On April 6th IFE issued a press release disclosing the discovery of a malfunctioning valve during a planned maintenance outage of the Halden reactor. The malfunctioning valve delayed the planned April 9, 2018, restart of the reactor. Based on recent communications with IFE, we believe it is likely that IFE's board will decide not to seek to renew the operating license of the Halden reactor, but we won't know for sure until the decision by the IFE board on June 27. In the event that IFE's board decides not to seek an operating license renewal for Halden, we have been evaluating alternatives for backup reactor facilities, including the Advanced Test Reactor at Idaho National Laboratory in the United States. Working with the U.S. Department of Energy and its national laboratories can allow us to conduct the tests right here in the United States which may come with additional benefits. An additional option we are exploring with a major U.S. nuclear utility is a lead test rod program in a large U.S. commercial nuclear power plant that could provide an alternative to Halden. Rather than simulating a commercial reactor environment at Halden, we believe we'll be able to demonstrate the Lightbridge fuel in an actual commercial reactor in the United States starting in 2021, more on that to come. That's all we have for this call on it though. We are also preparing to apply for a non-diluted DoE funding. While it's still early to say for certain, we believe the grants could be quite significant and could help offset some of the development and regulatory costs. We believe our fuel development program is well suited for these grants. We hope to provide more details on our progress in the near future. Other proposed nuclear fuels have been mentioned in the news and in industry publications. While other nuclear fuels in development known as accident-tolerant fuels may bring safety advantages to reactors. None can bring both the significant safety advantages and the major economic benefits of our fuel. Lightbridge fuel can also uniquely bring significant benefits on the backend of the fuel-cycle by reducing the amount of spent fuel or waste per unit of electricity generated and with the waste having the major positive attribute of being useless for any nuclear explosives purposes as independently validated in the recent peer-reviewed publication. Finally, Lightbridge fuel also has advantages for extending the licensed life of reactors, which we can discuss further during the Q&A if you wish. That said, we don't necessarily see these other fuel concepts as competitive. Some of these other fuel concepts can be combined with the Lightbridge fuel, further enhancing the safety benefits of each technology while maintaining all of the Lightbridge fuel benefits. So to wrap up, I'd like to highlight three key points. First, our nuclear fuel designs are attracting significant attention at both the commercial and governmental levels in that our technology has a potential to enhance reactor safety; to improve nuclear power plant's economics; to increase power output and/or longer fuel-cycles at the utility's choice; improve proliferation resistance of spent fuel so you can't make bombs around the world from this spent fuel; reduce the amount of waste and extend the operating lives of reactors. Second, we continue to strengthen our intellectual property portfolio and have received patents covering our metallic nuclear fuel rod design in the key markets around the world. And third, our balance sheet is stronger than at any time in our corporate history as Linda will go into in more detail in a minute. We now have approximately $22 million of cash on hand and that $22 million doesn't include the $5.2 million of cash that we recently contribute into the Enfission bank account, all of which will help to accelerate our fuel development and commercialization efforts and showing that cash in the Lightbridge and Enfission accounts along with contributions from Framatome helps bring about support from the DoE and their funding. We see a massive opportunity ahead with key milestones forthcoming that we believe will drive significant value for shareholders. Now I'll turn the call over to Lightbridge's Chief Financial Officer, Linda Zwobota to summarize the company's financial results for the quarter.
Linda Zwobota: Thanks Seth. For information regarding our first quarter financial results, please refer to our recently filed earnings release and Form 10-Q for all of the financial details. As Seth mentioned, we ended the quarter with approximately $22 million of cash and cash equivalent as of March 31, 2018, which does not include the $5.2 million of cash contributed to our JV Enfission. The strong cash position provides us with significant flexibility and the ability to fund both operations as well as activities that advance the commercial designs and manufacturing of lead test rods and assemblies. As these activities progress over the next couple of years, we expect Enfission to begin receiving fuel-related cash contributions from nuclear utility customers and at the same time we are actively pursuing non-dilutive funding options which could include meaningful government grants that would help to further accelerate our commercialization timeline. The $17.5 million increase in cash and cash equivalent resulted from the sale of approximately $20.7 million of common stock and $4 million of preferred stock during the three months ended March 31, 2018. This amount of cash inflow was partially offset by net cash used in operating activities of approximately $1.9 million and cash used in investing activities of approximately $5.3 million, which consisted of the cash contributions into Enfission that I mentioned earlier. We used cash during the three months ended March 31, 2018, primarily to fund our research and development expenses, but also our general and administrative expenses. We had a working capital surplus of approximately $21.3 million in Lightbridge and a working capital surplus of approximately $4.5 million in Enfission. The company's net cash used in operating activities during the quarter ended March 31, 2018, was approximately $1.9 million. Stockholders' equity at March 31, 2018, was approximately $27 million compared to stockholders' equity of approximately $5.8 million as of December 31, 2017. As I mentioned last quarter, one of the key reasons we raised money in 2018 was to put ourselves in the financial position to apply for and potentially receive funding from the U.S. Department of Energy this year. We anticipate that these recent financing activities in 2018 will help us to meet the minimum cost-sharing requirements that commercial recipients of DoE funding must satisfy. What this means is that the strength of our current balance sheet will enable us to apply for non-dilutive DoE funding and grants that would otherwise not have been available to us. This potential DoE funding would be used towards the future development and/or regulatory licensing of Lightbridge fuel. The dollar amounts and timing of DoE funding if awarded to us are unknown at this time, but we expect them to be significant and meaningful to our project. That said, we have no debt and we no longer have an equity line of credit. We continue to carefully manage our expenses and excluding funding that maybe required for research and development expenses, we still expect our monthly cash burn for general and administrative expenses to be in the range of $400,000 to $500,000 per month for the next 12 months. We anticipate our spending for research and development activities including our work through Enfission will be in the range of $10 million to $12 million in 2018, which is also well within our means given the strength of our current balance sheet. This spending will be used to advance our technical milestone. The 2018 financings have provided us with more than sufficient working capital to execute our research and development strategy for the next 12 months and beyond and has provided us the capacity to apply for grants from the Department of Energy. I will be available for your questions during the next segment of today's presentation. Seth, back to you.
Seth Grae: Thank you Linda. One final note, Lightbridge and Framatome personnel have recently been invited speakers at major nuclear power industry conferences appearing on behalf of Enfission. From June 26 to 28 we will be at the World Nuclear Exhibition in Paris, the world's largest nuclear event with over 10,000 visitors expected. If you happen to be in Paris at that time, stop by the Lightbridge Enfission booth in the American pavilion. We'll have four new model Lightbridge fuel rods that are now being manufactured and you could also meet many people from Framatome at the event as well as people from just about every commercial nuclear power company. Let's open the call to your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We will pause while the Operator Michelle reviews the procedure for asking live questions.
Operator: [Operator Instructions]
Seth Grae: And while we're waiting for live questions, David Waldman with Crescendo Communications, who's with me at Fox Studios and handles our Investor Relations will proceed with questions we're receiving by email. David?
David Waldman: Great. Thank you Seth. Our first question. I understand that Enfission is a 50-50 joint venture. Can you explain how cash and non-cash contributions are split between Lightbridge and Framatome? Based on your most recent SEC filing, it appears that at the moment Lightbridge is contributing more cash to Enfission than Framatome.
Seth Grae: Yes, well, let me start and I'll turn this over to Andrey. Right now much of this information is still confidential. I will say that both companies are making very significant contributions to Enfission including in cash and in intellectual property in kind from both companies. And let me turn that over to Andrey.
Andrey Mushakov: Thank you Seth. Yes, I just want to add that as previously disclosed, the total amount of cash and non-cash contributions from Lightbridge and Framatome is expected to be equal over the life of Enfission and in the life of the project. The actual split between Lightbridge and Framatome of cash contributions as well as non-cash contributions can vary and at each particular point in time. So that's part of the arrangement. However, there is a complex formula that is included in our agreements that basically may change the split of cash contributions between Lightbridge and Framatome depending on how much cash we're able to extract from third-party sources such as the U.S. Department of Energy, other governments or utility customers. So depending on the amount of cash contributed towards fuel development program from such other third-party sources, the total amount of cash contributed from Framatome as well as the total amount of cash contributed from Lightbridge over the project's lifetime may - the split may change. So for example, under certain circumstances the amount of cash contributed by Framatome may exceed the amount of cash contributed by Lightbridge and vice versa.
David Waldman: Thank you. Our next question and then we'll open up for some live calls, now that Enfission is up and running, would you describe it as a larger company than Lightbridge?
Seth Grae: Yes, it depends on what metric you're using, but Enfission definitely has a larger headcount, more engineers working for it. It's a very significant effort right now. I'll also turn this over Andrey in a second, but I'll say that we announced yesterday the directors and officers of Enfission. There are also many employees. The people working at Enfission now at all levels are in the end employees of Lightbridge or Framatome, had their compensation package at one of those companies and received no compensation whatsoever from Enfission. We have a target, each of us, what percentage of our time we provide to Enfission that goes up to 100%. My target is 25%, the rest is Lightbridge. And Andrey, I'll let you pick it up from there.
Andrey Mushakov: Yes. So I think there are different angles that one can look at it in terms of the scope, as we disclosed Enfission, now really took charge over the fuel development program that's part of our fuel roadmap that was jointly developed by Lightbridge and Framatome over the past couple of years. So [indiscernible] is really in charge of driving this project and fuel development effort. So in terms of the scope of what Enfission is driving, definitely Enfission has a much more significant scope of work than Lightbridge had for Enfission came into existence. In terms of management, I think Seth covered it, yes, we have basically significant resources from both Framatome and Lightbridge devoted to Enfission. We have project governance and project management structure in place for Enfission. So we have effect of financial and project management controls over what Enfission does. So Enfission, yes, it's becoming a very significant operation.
David Waldman: Thank you, Andrey. Michelle, we'll turn it to you now for any live questions.
Operator: Thank you. Our first question comes from the line of [James Anderson], who is a private investor. Please proceed with your question.
Unidentified Analyst: Hi, Seth. First I want to compliment Lightbridge and Framatome on assembling a great team for Enfission. I Googled their names and saw a long list of accomplishments including helping NuScale attain their recent NRC license and grant. Great team. As you just mentioned, the IFE will likely vote to permanently close Halden in June. Let's assume they vote to close it. Would that prevent you from applying for a DoE grant this year? Also can you share which quarter you plan to apply and which funding pathway you'll seek? I have one follow-up after your response.
Seth Grae: Sure. First of all, thank you for the comments on the team. As you've seen, it includes real leaders including the head of nuclear fuel for North America for Framatome and many significant names from the nuclear power industry. If Halden is not reopened or if it's reopened and closes at the end of 2020, we're not going to use it. That is not affecting our work with DoE. In fact, DoE would prefer that we do the work in the United States including at U.S. National Laboratories and at U.S. commercial reactors if possible. So the earliest testing we were planning for Halden, the cylindrical rod testing to show the thermal conductivity, the heat transfer, I would think we're probably going to end up doing at the HFIR reactor, which is a high flux reactor at Oak Ridge National Laboratory in Tennessee; irradiation testing in loops simulating commercial reactor conditions for pressurized water reactors. Yes, I think that will end up at the Advanced Test Reactor at Idaho National Laboratory in Idaho, but most significantly I expect actually the bulk of that will be done with this expanded lead test rod program we're working on for a major nuclear power plant in the United States with a major utility that's working with us and we hope to have announcements about that this year, but no, none of that would hurt our work with DoE. In fact we're finding that that's very well-received at DoE.
Unidentified Analyst: That's very encouraging. Here's my follow-up. Given that likely Halden shut down, you just stated the importance of alternate test sites including TREAT and a U.S. commercial reactor. What steps have you taken to ensure Lightbridge has access to these U.S.-based facilities and how confident are you that they'll be available for you in a timely fashion?
Seth Grae: Well, first of all, one benefit of Enfission is that our partner Framatome is the largest manufacturer and seller of nuclear fuel in the world including to a large portion of the entire U.S. fleet. Westinghouse is another one and GE-led group GNF is smaller. So Framatome is the fuel provider for many of the U.S. commercial reactors and has very close relations at those reactors. We're also advised by four large nuclear utilities very closely, very actively that have really helped us with this fuel design, that have over half the commercial reactors in the United States and are helping bring us to commercialization that sort of the supply with Framatome and the demand with the customers. And finally our real secret weapon on this is on the call Jim Malone, who himself was the head of nuclear fuel for America's largest nuclear utility, worked with Framatome and its competitors and suppliers, worked with the other utilities and knows their heads of nuclear fuel and other leadership of the utilities as well, and Jim's really done a magnificent job on this effort. Let me just turn it over to Jim to say a few words.
James Malone: Thanks for the kind words, Seth. I think it is important though to recognize that we do have excellent relationships with the operators of nearly half of the power plants in the U.S. and by capacity more than 50%. We get excellent cooperation, good suggestions and a lot of I would call it casual consulting that they just provide because they continue to express interest in what we're doing and they understand the benefits that will accrue to them should the fuel work out as we expect it to. Seth mentioned that they do contribute to our engineering effort and we're very grateful for that because it actually gives us the opportunity to rely on their expertise with respect to the licensing process with the Nuclear Regulatory Commission because ultimately they are the ones that have to apply and Framatome, Lightbridge through Enfission will support their applications, but they're the ones that have to write the applications and send them with the NRC as the operator of the power plants. One other things really important is Seth mentioned the opportunity to work with a major utility regarding our lead test rod and that's a concept that is very important to us. We probably would have done that even if Halden were up and running. In anticipation of Halden's difficulties, we have not been sitting idly, we've been working very hard to find alternatives and I think we're going to come up with a suite of opportunities relying somewhat more in the U.S. which as Seth pointed out pleases DoE and may make it easier for them to give us some consideration with respect to the funding opportunity we're currently working on.
Unidentified Analyst: Very confident? Based on the Framatome relationship and your role you've got these relationships already started and you're confident you've got these access to these other facilities?
James Malone: Yes, absolutely.
Unidentified Analyst: Great. Got it. Thank you.
Seth Grae: Yes, I'll just mention we just have read about a minute ago in the House of Representatives by a vote of 340 to 72 a bill has been approved moving forward toward a permanent waste repository in the United States for nuclear spent fuel. So more to come on that obviously, but this would be very good news for the industry and the utilities and Framatome as well. We're going to stay on about another five minutes before we go down the hall to the studio here. Let me ask David to take another question by email or Michelle, another live one.
David Waldman: Yes, so I think we probably actually have time for just one more question then.
Seth Grae: No, we'll try to squeeze in one more.
David Waldman: We'll try to squeeze in that one. So I understand that Lightbridge uses what's known as high-assay, low-enriched uranium. Do you find the fact that X-energy recently won a DoE grant to build a facility for this type of fuel an encouraging sign for Lightbridge and those who use this type of fuel?
Seth Grae: Well, absolutely and Lightbridge is an encouraging sign for X-energy. X-energy is one of the advanced reactor companies trying to develop the next type of nuclear reactor that will come out after the light water reactor that includes the pressurized water reactors for the future fleet that will be deployed. X-energy is a high-temperature gas-cooled reactor. We have a lot of friends at X-energy including the President Harlan Bowers; the Vice President Jeff Harper; and many others and the fact that they've already just won a DoE grant to bring about production of high-assay, low-enriched uranium which the Lightbridge fuel would also use is an excellent sign. I really commend DoE for doing that and in turn Lightbridge helps bring about high-assay, low-enriched uranium metallization, licensing of these codes for these, all these things that need to be done, yes, with DoE support that the advanced reactors will need to that follow us. So we're very synergistic in what we do and we're very happy to see DoE's leadership, the administration's leadership in that area and the House action as well today. Let me ask Michelle if we have another question live.
Operator: There are no further phone questions at this time.
Seth Grae: Okay. David, you have any more email coming?
David Waldman: Yes, I'm going to combine two questions and then unfortunately we're going to have to steal Seth away. Can you explain a little bit more about the manufacturing process for Lightbridge's fuel? And related question, what's the process for disposal for Lightbridge's fuel versus the current fuel and how do these costs compare? And who paid these costs?
Seth Grae: Yes. Okay, and I'll turn that over to Andrey and Jim as well, but let me say again, first coming up in Paris on the 26 to 28, you'll actually see some of our model fuel rods are being manufactured right now if you come, we'll definitely put that online and we'll bring those to other places as well to meet with investors and analysts and we're dealing with what's called the co-extrusion process for metallic fuel and let me turn that over to you Andrey first.
Andrey Mushakov: Yes, sure. So in terms of disposal basically with a power operate and the longer fuel-cycle existing in the reactors that Lightbridge fuel can offer the amount of spent fuel per kilowatt hour for electricity generated would decline in proportion to the amount of electricity increase or incremental increase in the amount of electricity that the nuclear power plant would be generating. So in terms of that metric, if the amount or the cost of storing fuel assemblies is not going to change dramatically which at this point the ballpark cost shouldn't change, again we have to go through very detailed modeling and analysis to look at potential difference in - that's in different materials, metallic versus oxide and how this could impact long-term storage over hundreds and thousands of years, but at this point the ballpark cost should probably be pretty similar if not better for our fuel. So again we don't expect any significant increase and most likely there'll be a reduction in the cost of - on the backend on the cost of storage for our fuel. In terms of fabrication, I mean it's a co-extrusion process that we use which is different from the process used by conventional uranium dioxide fuel which has hundreds of pallets per fuel rod, in our case we have a single solid fuel rod that comes out of our fabrication process. So in terms of our quality control, quality assurance, not having to inspect and certify hundreds of pallets per rod, instead we inspect and certify an individual rod that reduces some of that burden and into the fabrication cost. Again at this point until we get to at least the pilot-scale fuel facility, we're going to fracture full-length fuel rods for the lead test assemblies and potentially reloads. Again, it's very difficult to say what the actual manufacturing cost is going to end up being for our fuel, but again given just some of the differences and some of the simpler QC steps, quality control steps for our fuel, the costs should be either comparable or probably better than standard uranium dioxide fuel. I don't know, Jim, if you want to add anything?
James Malone: Yes, I think you've captured it Andrey. I think the most important thing is the fact that in the manufacturing process, the fuel is not subjected to the kinds of processes that happen with UO2 fuel and those UO2 fuel processes and especially in pelletization have often resulted in several fuel rod failures in a particular reactor operating cycle. The co-extrusion process and the metallurgical bond between the fuel and cladding eliminates that kind of problem with our fuel. So in addition to the operational aspects, we have the added safety and radiation protection of our fuel contributing to easier refueling outages, less contamination within the plant and overall more confidence on the part of the operators that the fuel will not fail as they change power.
David Waldman: All right. Well, thank you guys and I apologize, Seth has had to step away, but he asked me to convey to everybody on the call that he thanks you all for taking the time this morning to listen in and for the good questions. On that, I will turn the call back to Linda for some closing remarks. Thank you very much.
Linda Zwobota: Thank you so much David, and thank you Michelle. I'd also like to thank our investors and we look forward to providing additional updates in the near future. In the meantime our lines are always open at ir@lpbridge.com and 1855-379-9900. Thanks everyone and good bye.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.